Henrik Andersen: Good morning, and welcome to Vestas' Q2 investor presentation. And also here, let me start by extending a huge thank you to our customers, other stakeholders and, not least, colleagues around the globe. It has been busy and also a quarter with a certain degree of uncertainty in policy, not least for our more than 5,000 dear colleagues in the U.S. It's also a warm welcome to Jakob, and you will have to bear a bit of patience until the financials before you listen to him. So welcome, Jakob. And with that, let's go to the key highlights of the quarter. So the quarter ended with a revenue of EUR 3.7 billion. That's an increase of 14% year-on-year. The EBIT margin ended at 1.5%. Onshore -- improved onshore project performance, lower warranty costs, offset by the offshore ramp-up cost, we'll speak more about that. The order intake ended at 2 gigawatt, lower order intake year-on-year as customers have been awaiting policy clarity, particularly in the U.S. And definitely, we'll talk more about that. And then manufacturing ramp up, driving costs and investments. Onshore and offshore ramp-up is progressing, and the first V236 nacelle assembled at the facility in Poland. And then we ended with a return on capital employed of 11.5% the last 12 months, improved profitability in the last 12 months results in the highest return on ROCE since 2020, which, of course, is very pleasing. And last but not least, our 2025 outlook guidance maintained, and we'll take that in the end of this presentation. So with that, let's touch shortly on what are the markets and what markets are we in. The wind energy, and this is fact-based, is wind and it's affordable. There is a security element, and there's definitely also a sustainability element. If we look at our current business environment, inflation, raw materials and transport costs are stable. However, tariff will over time increase costs, which we see as an imminent and also a link but, of course, for us, a long lead time with the backlog. The ongoing geopolitical and trade volatility leading to regionalization and we, of course, say that. And we also noticed that throughout what we have done in the previous years. When we get to the market environment, the heightened focus on energy security and affordability, you also noticed that in the most recent wording from the U.S., where we are talking detailed around how FERC and components will be discussed and also seen going forward. The grid investment is prioritized in many of our key markets, and it is becoming also a very important part of getting the solution successfully in the market. When we look at permitting, it is improving in some markets. But overall, permitting, auctions and market design are still challenging. And sometimes, we still see even very successful government having an unsubscribed auction simply because we don't apply the same principles from neighboring countries. When we then look at the project level, I would say a really, really pleasing quarter. We've seen a really good execution in the onshore across the markets where you have seen our deliveries, and we are positive towards the end of the year if we can continue the same discipline and also the same execution level of what we have seen in Q2. That also means we now go to the Power Solution. And Power Solution in Q2, I will say, lower, maybe a bit disappointing order in Q2 compared to where we like to be, both compared to last year, but also where we would like to be from our own site. We see that with good activity in EMEA. So order intake ended at 2 gigawatts. It was down 44% compared to last year. The decline was mainly driven by a lack of orders in Americas, especially in the U.S. as customer have been awaiting policy clarity. There were no offshore orders in Q2 as noticed. The ASP declined to EUR 1.11 million per megawatt in Q2 compared to EUR 1.24 million per megawatt in the prior quarter. Decline -- the decline was driven by a change in order mix and also while the underlying pricing remains stable and positive for Vestas. As you also noticed, we have had a very good start to Q3, and this is where disconnects the 2 quarters is wrong to do. See it in connection with the policy changes that happens over the quarter end. So we've seen several orders announced, including in the U.S., as the policy outlook is clearer. And that also means year-to-date in -- or quarter-to-date in this quarter, we are already well past what we saw in Q2, including approximately 1.5 gigawatts so far in the U.S. Then nacelle facility in Poland has now started serial manufacturing, and the first 236 nacelle left the factory in June. Actually, Jakob, we were there in June when that happened. And it's really nice to see that the ramp-up our team has been working on for now saying years is now coming to fruition. And of course, it also means that our offshore ramp-up cost in a Polish factory is around top of what we have seen because now -- we now have more than 500 employees working in the nacelle factory in Poland. It is an intense period for the offshore because we have turbines going out to EnBW and Baltic Power in He Dreiht as well. So therefore, we see our 15 megawatts is now getting up on both sites. And we are in close, of course, dialogue and communication with our customers and partners in that. Ramp-up at its peak, and we'll talk more about that, I'm sure, later in the call and also on the coming days. With that, I would like to go to Service. So again, solid quarter as recovery plan continues. When we look at the Service order backlog, increased to EUR 36 billion from EUR 35 billion a year ago, but declined compared to Q1 due to the development in foreign currency translation. And that actually goes across for most of the businesses, and Jakob will give you some more details on that later on. Service reached 159 gigawatt under service compared to 151 gigawatt a year ago. The commercial reset, which includes contract trimming and deselecting of contracts with unattractive term is ongoing. Even so, gigawatt under service during the quarter, evidence that our solutions are valuable to both our customers, partners and Vestas. If we look at the other part, the standardized cost control, bringing down direct costs and reducing unscheduled maintenance, continue to be the top -- among the top priorities to improve our service operations. And I really, really welcome the many, many, many of our colleagues that are involved in that and also improving on a daily basis. Thank you for that. When we look at Vestas, we are 2 quarters into the Service recovery plan. It is expected to run to the end of 2026. And I just want, here, you can see the numbers, the breakdown of our 159 gigawatt to the right and then also remind that we have an average years of contract duration of 11 years. With that, I want to also to remind you, it's a slide we shared with you in the beginning of the year. But just to highlight, when we look at the Service recovery plan, we have just boxed in the 2 main headings over here where most of the resources and also a lot of dedicated leadership time goes into: the commercial resetting where we drive the commercial excellence with focus on price, scope, billing profiles and contract trimming; and we see wage inflation that, at least in Europe, is settling fine, around 2.5%. When we look at the standard cost control, that means it's hard day-to-day work for the regions, and that is being driven by them and creating the right ownership. I think we have to admit lacked when we look throughout 2024, but that's a new reality from 2025. Quickly go to Development. I will pass that relatively quickly, not a lot news to say. Development is focus, focus, focus on the projects we are seeing. So in Q2 '25, our pipeline of development project was stable at 27 gigawatts with Australia, U.S., Spain and Brazil holding the largest opportunities. Strategic focus is on maturing and growing a quality project pipeline as well as conversion of mature projects in project sales and also related turbine order intake. In the quarter, Vestas Development firmed one project for 102-megawatt of order intake in one of our markets globally. You can see the breakdown here, not a lot of change. Business as usual. But as you will also appreciate in the environment, a lot of focus on getting the full solution rightly done in the development and, therefore, shared and sold to our partners in good state. So with that, we go to sustainability. Vestas remains the most sustainable energy company in the world. We are proud of it, and we also keep our relentless focus in putting more energy up available, but also a focus on keeping the sustainability of it. The turbine produced and shipped in the last 12 months are expected to avoid 480 million tonnes of greenhouse gas emission over the course of their lifetime. This positive development of 65 million tonnes was driven by increased production over the last 12 months. Therefore, probably connecting to that, the carbon emission from our own operations increased by 8,000 tonnes year-on-year due to the increased activity, especially also in the offshore construction and service. The number of recordable injuries per million working hours, TRIR, was up from 2.8 to 3.0 year-on-year. Safety remains a top priority for us as we tirelessly work to improve our safety performance and records across our value chain. However, it's also clear that if you look at the number of full-time employees we have today, we also have to constantly, constantly put our effort to this when we are welcoming so many new colleagues, especially in our own factories, but also on the new sites where we are putting our solutions in play. With that, pleasure. I'll hand over to Jakob and welcome him to our investor presentation here.
Jakob Wegge-Larsen: Thank you, Henrik, and it's great to be here. And we will start with the income statement. We see 3 key highlights for the quarter. Revenue increased 14% year-on-year, driven by higher delivery volume on turbines and higher revenue in Service. Here it's worth to note that the Service revenue in the comparison quarter was negatively affected by more than EUR 300 million due to the planned cost adjustments last year. Our gross profit increased to EUR 417 million in the quarter, primarily driven by the reasons mentioned above as well as the increased profitability in onshore, which was offset by ramp-up costs in offshore. EBIT margin before special items was positive 1.5% in the second quarter. As previously communicated, '25 will be a back-end loaded year with most of our activity and earnings expected in Q3 and Q4. So basically similar to the last many years. Moving into the segments, first, with Power Solutions. Revenue increased by 7% year-on-year, primarily driven by higher onshore delivery volumes in the U.S. And you can actually best see these details in the interim report on Page 10, where you see that the U.S. is up with 500 megawatt. EBIT margin before special items was minus 0.4%, down 1.1 percentage points year-on-year. The lower profit reflects ramp-up costs in offshore and higher depreciations and amortizations. This was partly offset by better profitability in the onshore segment, which continues to perform very well. For the Service segment, excluding the planned cost adjustment made in Q2 last year, Service revenue declined 4% year-on-year, mainly due to a 3% currency headwind. Our transactional sales were on par with last year. Service generated EBIT of EUR 163 million, corresponding to an EBIT margin of 17.2%, in line with recent quarters. The Service recovery plan continues, and Henrik has already spoken to this, and it will take some time before benefits are visible in the financials. Moving on to cash flow and first looking at the net working capital. Net working capital decreased in Q2 due to an increase in the level of customer down and milestone payments, partly offset by higher inventories as we prepare for higher activity in the remainder of the year. Compared to Q2 last year, we have seen a considerable improvement in net working capital, and we continue to focus on improving this. Our cash flow statement comparing Q2 '24 with Q2 '25 showed a positive operating cash flow of EUR 120 million in the quarter, a decline compared to last year. The decrease year-on-year was primarily driven by a favorable development in net working capital in Q2 '24, partly offset by better profitability this year. Adjusted free cash flow in the quarter amounted to minus EUR 220 million (sic) [ EUR 227 million ], a decline compared to Q2 last year, again driven by the reasons mentioned above. Finally, we ended the quarter with a net debt position of EUR 7 million after both paying our dividend and buying back shares. Our investments are in line with our plans and in line with previous months. Total investments amounted to EUR 288 million in Q2. The investments are primarily related to tangible investments such as transport equipment and tools for our offshore ramp-up. The recent increase in LPF is caused by a few sites including the previously mentioned offshore sites that have been undergoing repair. Disregarding these sites, the underlying LPF, Lost Production Factor, continues to trend down. Warranty costs amounted to EUR 115 million in the quarter, corresponding to a 3.1% of revenue, which is an improvement from 4.3% in Q2 last year. Warranty provisions consumed were EUR 188 million. The higher consumption level in this quarter is related to the above-mentioned repairs. And for me ending on the capital structure slide. As seen from previously, we have a 0 net debt. Our earnings per share measured on a 12-month rolling basis improved to EUR 0.8, driven by the better profitability. And finally, as Henrik started out by saying, return on capital employed improved to 11.5% as the earnings recovery continues. And this is, as you mentioned, Henrik, the first time since 2020 that we are above 10%. And on this note, I pass over the mic to Henrik.
Henrik Andersen: Thank you, Jakob. Thank you. First of all, it's always exciting to do your first presentation, not least sort of concluding on the first couple of months. I think here, as we are talking about Q2, I'll also take this opportunity to reach out a bit of a special thank you to Rasmus because, of course, he has been holding very much that together with the rest of the organization. So therefore, to many of you, you will also find both Rasmus and Jakob sort of being a bit of a pairing here over this quarter. So we -- you get a proper way of saying cheerio to Rasmus. Rasmus continues as our CFO for the Global Service business, which we are hugely excited about. So we look forward to that. So with that, I'll go to the outlook for the year. As we said, remain the same. So revenue, EUR 18 billion to EUR 20 billion. The EBIT margin before special items, 4% to 7%. Service is expected to generate EBIT before special items of around EUR 700 million. And then when we look at the total investments of approximately EUR 1.2 billion. This outlook is also based on the current foreign exchange rate. And as you will clearly have both noticed and appreciated that it is putting some pressure on a couple of the absolute numbers that are in here because, of course, with the dollar decline towards the euro, we see that effect from the U.S. and also a couple of our regions where currencies are tied to the dollar. With that, really thank you for listening in to us. And with that, I will go to the Q&A and pass back to the operator.
Operator: [Operator Instructions] The first question comes from the line of Sean McLoughlin from HSBC.
Sean D. McLoughlin: Just firstly on U.S., on the situation, clearly, customers are not waiting for final clarity on how to qualify for construction-ready status. Maybe just a little bit more clarity on how significant the near-term order rally could be in the U.S. And whether you see this, let's say, as a short-lived rally or we could be looking at a 1- to 2-year period of very robust onshore U.S. demand. That's the first question. And the second question, I wanted to touch on the change of CTO. I think it's quite significant. You've -- I guess, under the 6 years of Anders Nielsen, you've pushed for more standardization in onshore. You developed a 15-megawatt offshore turbine. I mean, given the incoming CTO's background at ZF, it looks like maybe a deepening its focus on the gearbox. I mean, can you talk about the incoming CTO's priorities?
Henrik Andersen: Thanks, Sean. I think U.S., first, if we look at the demand side there, it goes without saying, and I think we spoke to that as well, you don't like to put orders down in any market anywhere in the world if there's not a policy clearance. Then you can sort of say if you have a project that is already well permitted, has an offtake and also have clearance on the other parts, then there is no need to wait for potentially what comes on an IRS guidance under sort of the safe harbor ruling later. So that will have to wait until next week, but that also now set us. So if you look back at the wording, I think it's fair saying it was vulnerable and maybe also a bit volatile wording that was in -- happening during May, June. And of course, where we ended in beginning of July, I have to say it was pleasing to see because that makes a structured program that also allows for build-out of energy assets in the U.S. when it comes to wind. It doesn't surprise you, contrary to a few others, that I'm a strong believer in wind, and I see the positives of wind. So therefore, when you look at this, there will be significant activity coming towards that. And you can also see that if people are having an opportunity to do things, then they will not necessarily wait for the IRS update guidance. But I will say in here, work is going on. People are generally quite pleased with it. And of course, for a number of customers, they have also secured some of the safe harbor probably already pre-July 4. So in the U.S., I don't see this as a couple of years. I see this as leaning towards the end of this decade. So therefore, there will be substantial activity, and we know that from talking to the U.S. customers. And I know how little I have had successful in predicting some of this. But I try again, Claus Engholm, you'll be listening in and I will go to the U.S. and I will go to Australia. So we better see what happens in the next year then. When it comes to the CTO change, anyone can see when you finish a press release with that probably Anders expected to retire from operating executive jobs 6 years ago. When I was out with him and Felix last night, it's fair saying he thinks he's had 6 years, maybe the best of his working life, lots of challenges, but also a fantastic footprint to leave behind. He will stay on here to get Felix rightly settle in. We have a number of things to get done here in the autumn and not least towards the year-end. And Felix starts today. So therefore, his first working day. So there's no gap, there's no running around and looking for excuse to stop and go. With Felix coming in, he's a veteran in the industry. He's a veteran also probably knowing Vestas in good and bad details, of course, on the gearbox side. So for us, it's not like we are saying, "Oh, now it's gearbox time because gearbox has been -- and drivetrain has been one of the things Felix was helping us with. So that's not personal related. That is actually ZF partnership related from where Felix come from. And Felix has not turned 50 yet. He has mileage to go, so it's also, for me, a real pleasure to see that we are able to attract global leadership executives into this leadership team. And I'm just looking here. At least, I can see on my birthday that I have 10 years ahead of Felix. So it's good to have some of these in. And if you look into Jakob, it's similar. So it's a normal good succession. And I hope most of the people that knows Anders will be part of giving him a good send-off because he deserves that. So business as usual and not a second of pause. We continue the same of what we have done under Anders' leadership.
Operator: The next question comes from the line of John Kim from Deutsche Bank.
John-B Kim: I'd like to focus on where we should be thinking about order intake for rest of year. One could argue that '25 is a peak market for Germany. I'm wondering, within the greater European remit, where else we should be looking for orders this year and next in onshore? And then the same question for offshore, please.
Henrik Andersen: Yes. John, it's super difficult to sit in August and give you these are the -- but I would say the building blocks are not surprising. If you look at Europe right now, a lot of onshore attention is getting into Germany. What did Germany do to get to a position of where they are today? So Germany continues. We are one of the ones that works closely with partners in Germany to get it up. Very short lead time, very short permitting time, very short auction time. Listen, a lot of EU 27 have been now drawn right to what are the learnings from Germany. And I wouldn't be surprised if we see policymakers in Europe aligning in and around some of the similar rules for EU. And so therefore, people are picking some of the positive learnings out of it. And one of the real underlying that everyone can understand is if you go from 6, 7 years permitting to a 12-month permitting, you get access to the latest technology on any project. That in itself is an enormous upside. Then we see the repowering in Europe. I'm pretty sure we'll have more legs. So Europe, yes. U.K., you will see U.K. as well. And some of it will be how do we get the permitting done in the U.K. under the new regime. But there is tangible levers to what the government want in the U.K. and not least, Ed Miliband, so praise to that. U.S., wait and see. I mean, that's the only better way of saying it. And there will, of course, be -- if there are some changes to the safe harbor in terms of percentages, we might close in on where some of the safe harbor orders almost become small orders in that sense if the percentage to clear goes up. Outside that, Asia Pacific, you will see in Q2, 76 megawatts. They haven't had the busiest quarter of their time in Q2. So that's a good indication of they've been working on quite a lot of things that didn't come in Q2, which is back to my comment on please don't disconnect quarters or times it would fall because that won't work. We are already, now, by this stage, way past Q2 order intake. And we will -- we are having quite some time to go in Q3. So no worries with that.
John-B Kim: Okay. Very helpful. Any color for offshore?
Henrik Andersen: No. I will just say here, offshore continues being it. But as you also would appreciate, a lot of the offshore is having a different cadence to the order intake because you work with the PSA first and then you go to the order intake. So I can't really say that because in a couple of the areas here on offshore, a lot of it depends on outcome, for instance, on AR7. Can that be -- can some of that happen this year or next year? So therefore, the offshore is generally -- and we don't -- I know this week is like everyone are trying to find and put a finger in a hole somewhere in offshore, and that's wrong. If there is some project specific, you got to get used to that. But when you look across offshore, it's actually working. And therefore, just follow that. And when we have an opportunity to convert some of the offshore PSAs because the customer and the partner is ready, we will do that.
Operator: We now have a question from the line of Colin Moody from RBC.
Colin Moody: Two, if I could. Maybe one first on capital allocation. This is a question that's emerged for the first time in a little while. Obviously, you've had good cash flow development, and the net debt is where it is right now. How do you feel about potential future use of cash, I guess, in particular, in regards to future buybacks, further CapEx or investments? Or is there anything out there to buy? And then just kind of a quick accounting question as well. It looks like your incremental D&A this quarter was up around EUR 33 million in this year -- this quarter. It was up incrementally around EUR 30 million in Q1. If I recall, I think the full year guide was for a step-up of around EUR 200 million year-on-year. I wanted to clarify as to whether expectations have changed around that EUR 200 million. Or is this the case that the D&A will be a little bit more back-end weighted?
Jakob Wegge-Larsen: Yes. And Colin, let me take that. First, to your capital allocation question, firstly, and we have that also well described in our quarterly report. Firstly, we invest in the business. And then secondly, we look at the dividends. We were very happy that we could pay out dividend this spring. And you also saw we did some share buybacks there. And that's our ambition to continue that as we generate the free cash flow. So we confirm what we have previously said, and you can also see that in the documents. In terms of depreciations and amortizations, we have previously guided up to the EUR 200 million, and we do see the increase. And as you rightfully say, it's maybe less than what you would have anticipated at this point in time, but there were some minor delays. But in general, we are on track, and the number we previously guided is the number you should model in.
Operator: The next question comes from the line of Dan Togo Jensen from DNB Carnegie.
Dan Togo Jensen: Maybe a question on the onshore business. Where is it today, so to say, relatively to where it's been historically? Just to understand what is still outstanding for the onshore business to lift it towards the 10% EBIT margin. Is it just a matter of operational leverage? Is there still some ramp-up issues in the U.S., et cetera? And then maybe on the offshore business, the loss that clearly hits you here in Q2, how should we think of that in absolute terms in coming quarters? Will it expand? Just reflecting on when you say, Henrik, the peak is -- or the ramp-up is peaking here in Q2. So will offshore losses expand further in coming quarters as you deliver more at more loss, so to say? Or how should we think about the absolute level of offshore losses in coming quarters?
Henrik Andersen: Thanks, Dan. And I think on the onshore, you're absolutely right. You put sort of the onshore U.S., which has, of course, caused us still some troublesome here. But you can see the deliveries are going up in -- also in Q2. And I think as Jakob mentioned, there was another 500 megawatt that went out of the door in the U.S. in second quarter compared. So no, we are making progress on the onshore. And if I could give credit to the 5 regions that we are having executing on onshore, there's not much I will do differently in onshore this quarter when I look at the -- both the profitability and also the execution. And you know we control how we price it and we also know how we look at how -- when the project is delivered, what was the post calculation as well. So we're really pleased with that. So that probably just sends you one signal off that it also illustrates quite a bit of how much we are right now using of the -- of that positive into the offshore ramp. And as I said, I know you would love to have a date or a quarter where this either tops or -- and I can't say that per se. But what, of course, it is, the ramp-up cost gets diluted by 2 things. First of all, when we start having volume number of assets coming out of a factory like in Szczecin in Poland, that is helpful because then you start having assets, not just more than 500 colleagues going around. And of course, it triggers costs out of this. And therefore, if we look towards the end of this year, we should have passed what is the offshore peak of the ramp-up cost. And that also means, at that point in time, we are looking pretty tight at each other internally of how that is then ramping down. And of course, ultimate ramp-up cost should get towards 0. I just can't say per quarter yet when that is going to happen. So a lot of -- a bit of high-fives around the onshore in the quarter and a lot of attention to how the ramp-up costs are not only spent, but also contributing to the success of offshore. And let's not forget, we have quite a number of turbines offshore standing now at sea, and we are really pleased with that.
Operator: The next question comes from the line of Max Yates from Morgan Stanley.
Max R. Yates: I just wanted to ask again on the offshore business. It's a fairly sort of small profit quarter. So it's -- I guess, it's hard to really understand. Were the offshore losses and the development of the offshore business kind of in line with your expectations? Or were they actually a bit worse? And maybe just sort of qualitatively, if you could just talk through kind of the ramp up, what's going well? What sort of specific parts of it or maybe kind of going less well and where maybe are the issues and where the success is? So just qualitatively in terms of actually how that is progressing, where the challenge is to kind of better help us understand sort of actually mechanically what's sort of going on there.
Henrik Andersen: Thanks, Max. And I think here, on the offshore, the ramp-up plan -- or the ramp-up is on plan, so to say, because I think when we looked at it, could it be that we are 1 week adrift from the plan in a factory in Szczecin in Poland? Probably. But when I look at Szczecin in Poland and walk around to the employees there and how we are now seeing, we are exchanging between Lindø and Szczecin on the nacelle. That feels really, really good because that gives us, first of all, a flexibility of production and manufacturing going forward. It also gives us a little bit of a backup in reality that how is it if there is something happening in Lindø and Szczecin, then we have at least 2 sites where we are well under the way with the nacelles. When we look at the 2 projects, we knew anyone who are ramping up in offshore, and let's not forget, we have done that before, it's more than 10 years ago, but we have done that before. So therefore, it is costly because you have 2 projects, and the 2 projects as such are not here to cover what we are spending in getting the technology and the factories up and running. You saw some of that when we also had almost idling status in the U.S. But then the turning point comes when we get to '26 and '27. First of all, because we have more volume and more projects to be delivered. But the secondly is, of course, some of those ramp-up costs, you won't keep having. And what am I talking about here? You spent quite a lot of people extra in there to put it, and some of it is also when you pass the technology from prototype to serial manufacturing, you have a number of nonconformities you put through a finish line. The finish line is a busy place when you have new technology working. I can't praise the team enough for doing it. Of course, I'd rather not have any finishing to be done because that was a sign-off that we didn't have any nonconformities. But that's not the reality of an industry we work in, wherever you work in the world. So therefore, do the diligent finishing, and that is extremely important for the partners that are able to see that walking around in our factories as well. Close collaboration with the partners, really appreciate that. And then, as I said, the finishing should start coming down in second half of this year. And of course, that in itself will also start reducing the ramp-up cost we are having. But as you can almost hear on the voice here, this is a substantial drain on the EBIT in the Power Solutions in the quarter. And with that, I'm not going to give you a percentage on it because that's not what this is about in a small quarter.
Max R. Yates: Okay. And maybe just then, I guess, the second question. Just on the lower warranty costs because that is kind of quite a significant improvement year-over-year. I know you've talked about this kind of improving over time. Does this feel like kind of the new level that we can sustain? Or was there anything particularly kind of one-off in there that we might see kind of that increase again in the second half?
Henrik Andersen: That is not expected. We run a process, as you very well known, Max. We almost sometimes run case handling in that quarterly number. And I think here, 3.1% illustrates where we are running and where we are seeing the business. We didn't have any extraordinary things, as you can probably also see in the split between what we provided and what we used. We used slightly more than we provided for, which is also a bit of the instruction, get it done and get it fixed, what is in there in the Lost Production Factor. So there are no significant new cases. And therefore, 3.1% is a good running currently as where we are and where we see things developing. It should still be in that direction from when we saw 4.3% for the full year of '24.
Operator: We now have a question from the line of Casper Blom from Danske Bank.
Casper Blom: First of all, a question going towards the U.S. onshore business. Obviously, it seems that you're looking into a busy rest of 2025 and also '26 as it look right now. And I noticed that the TPI filed a Chapter 11 earlier this week. Could you give any sort of indication as to whether you see any risk to deliveries of blades from that site? And maybe also talk about, if you can't get blade for -- from that site for whatever reason, what the backup plan is. And then secondly, Henrik, you did mention that, overall, you see the offshore industry continuing, and that sort of hiccups are maybe sort of a bit more project specific. But it's very obvious, of course, with the -- being in Denmark that there's bit of hiccups this week. Can you give any kind of comments to the pricing discipline from an OEM point of view in that sector? Are you able to keep pricing on offshore with some of the developers struggling? Or do you need to sort of help them getting back on their feet?
Henrik Andersen: Thanks, Casper. Quite 2, I would call them, large questions in that sense. So if we look at the U.S. onshore and the outlook, I see the world is fragmenting almost into 2 beliefs here. And I'm probably trying to see if we can get the merged understanding of it. If you look into it, this policy sets clear way at least towards the end of the decade. So for somebody to try to make it as short as possible, I can sort of hint that, that might -- is guided a little bit of the personal interest of either Vestas or the industry's share position on the valuation where I think this leans very much towards what is underlying happening in the U.S. The energy prices is on an upward trends. Whatever being said, factual. Electricity is in higher demand it has been before. Electricity from, especially, the tech sector is going up, not down. So therefore, some of the fastest, some of the cheapest thing to get access to right now and most value, therefore, for any investors' money in the offtake is actually renewables. And therefore, wind is a priority. And that's what you have seen in just a few weeks here starting in Q3. So that one, can't predict and won't predict where it ends in terms of order intake for this year because it's simply too lumpy. As you can also see, some of the orders, this is not Europe, Germany, where it's unannounced. It's in excess of 200, 300, 400 megawatt and upwards. So therefore, there's more to come. And I can only here say, fantastic. We have such a commercial team, and we have such an experienced leadership team in the U.S., both in terms of public affairs, but also in terms of the commercial setting. When it comes to TPI, I'm pretty sure they didn't go into Chapter 11 for going out of business because then there was no reason to go into Chapter 11. So now it's up to TPI to figure out what they want to do with their prime customers around in the world. And of course, we are one of them. So let's see when they come. It's -- I think if it's right saying here, it's 48 hours. And I assume 48 hours in, there's quite a lot of other things going on in that debate. I think from a person -- I think -- I feel for a leadership team in TPI, it's difficult conditions. But I also know if you're able to bring it out, TPI has been a longstanding good partner for us. So I'm pretty sure that there is all reasons to believe that operations continue and also the good partnership continues somewhere in here. Then we see how that goes in Chapter -- if they come out of a Chapter 11 as a one unit and a one partner and a one TPI or they come out there with different sets of assets. We will look to that. And if they need help, they know they can always talk to us. On the offshore, come on, no one is able to price the project and compensate if you need more capital to the tune of EUR 8 billion. So therefore, that is not a pricing issue, Casper, if I can be a bit direct and brutal in that sense. That is something else. It's probably financing of a project rather than pricing. So therefore, I think our part of the industry went through quite a difficult time, and some of it led to that auctions got pulled. I saw still some countries around the world still struggle to find the offtake price where they still feel or think that offshore will be more cheap than any other energy assets available. And that's simply not the case. So I think what I saw most recently in the AR7, which we have seen, we have worked closely with the U.K. government. They've had their experiences, both as failing ARs auctions. But the reason AR7 is probably one of those more modern ones where I will say, here is the thing, consultation with industry across both from developers, OEMs and others, and that's where you will then have almost a preset of who is going to come in here and how will value be created. So again, a little bit of a flag up and a positive to Ed Miliband. He is running a good way of doing it. And we can see some of it is actually compared and shared into the EU setting as well. So offshore, it's not a thing about pricing in the case you were discussing this week. But as a general thing, don't take it for more than that's a project problem and a financing issue.
Operator: We now have a question from the line of Claus Almer from Nordea.
Claus Almer Nielsen: First of all, a warm welcome to you, Jakob. And then to my 2 questions, and I will not ask about Australia this time, but more talk about the offshore and the ramp-up. Maybe you can give some color to what was actually included in the 2025 guidance back in February, not in the absolute number, obviously, but how does that compare to what has actually happened in the first half of this year? That would be the first one.
Jakob Wegge-Larsen: Thanks, Claus, and I appreciate your personal reservation here of not asking about Australia. So thank you for that. I'm sure we'll speak more about that later in the week. I think on the -- if we look at the guidance when we initiated that in the beginning of the year, I would say within that guidance range, there are things that will always do a bit better. And if I look at that right now, I will say the onshore year-to-date execution and what we are looking into the second half of the year looks like that's going to contribute positively into that guidance range. And if we look at the offshore ramp, I think we are spending slightly more than what we had in the beginning of the year. That is, in some ways, a precaution of not ending the year of saying we could have done better or we could have done something else in the ramp-up. But no mistake making here. I mean, internally, everyone knows that it's not a freebie of spending money in ramp-up. So therefore, spent the money wisely investing in it. So those are the 2 variants. Then I will say since February, if we just look at some of the external markets, some of the external things that has happened, whether that has been in, as I mentioned here on the -- some of the nominal things on FX, but you've also seen tariffs. I mean, come on. It's not easy to get a fixed point in any of the weeks where we have been. So some of the tariffs, we are doing really well in both being firm and seeing the tariff and also finding mitigations and, at the same time, in all of this pricing levels for the world will be higher because tariffs will go to the final end customer, whatever value chain you sit with.
Claus Almer Nielsen: Fair enough. Then the second question is about the commercial reset of the Service division. How far have you come to this termination or repricing of the unprofitable contracts? And did you -- this repricing or termination, did it have an impact on Q2 EBIT? That was my second question.
Jakob Wegge-Larsen: Yes. No, I understand your question. You've got a couple of things going here. You've got 2 buckets that are doing. Of course, you're going through your whole setup of contracts in there, which is only natural. And then, of course, you've got a natural flow of renewables that comes to you. And therefore, you treat those 2 equally. But at the same time, it goes without saying, from a contractual point of view, the renewables are pretty much easier to get to because, there, you will have some of them. There, you just have it natural. Is it an extension or not? And as I said earlier, probably this, we would have expected to see a slightly more negative effect on gigawatt under Service. It hasn't happened, and that probably is a good illustration of no one is generally unclear about our own costing internally at all. So therefore, when you see this, that also means customers are having deep insight in how we are pricing, how we are costing this, and has led to that we are both renewing probably a higher percentage than we initiate for -- Service business forward, the Service leadership team forward and I, definitely, forward 2 quarters ago. And then I will say on the more resetting on some of it, that's more a partnership portfolio discussion we have, but that we have across the world. And with some of that, that gives some adjustments that is included in the run rate. We don't want to do this opening a Pandora's box of where you can start doing one-offs and other things in Service because, then, it gets a bit out of hand, because then it's one-off cost of termination and other stuff. So it's in the run rate. It's in the operations. That's how the instruction is to the global service team around the world.
Claus Almer Nielsen: Okay. It will not be easy to put that into an Excel spreadsheet, but that's how it is, I guess, so.
Jakob Wegge-Larsen: No. But you can definitely hear on me that there is no positive upside in the run rate from that exercise. So that, you can know. Then you just need to find out what negative number you want to put to it.
Operator: Next question comes from the line of Tore Fangmann from Bank of America.
Tore Luca Kristof Fangmann: The first one would be during Q2, one of the European operators spoke about price pressure of the European countries from Chinese competitors. What do you see here in the region? And how would you describe how protective are the governments in the European countries regarding the Chinese competition in wind? I'll take the second one afterwards.
Henrik Andersen: I think a lot of things. It's a different world today than it was 24 months or 48 months ago. So I think people are generally a bit more mature in the way we look at things. And I think seeing the geopolitical landscape right now, I think everyone are fully on board with what also goes towards cybersecurity and protective measures of your critical infrastructure. We participate heavily in that. So I'd rather say, I mean, that there are so many other factors right now than a price discussion only. So therefore, if you have a price pressure point discussion, then I think you're probably up against something else where you haven't really talked about what the solution is. And if somebody falls for that, then I think it's the wrong part of it. I think EU is fairly mature. I think speaking also on behalf of WindEurope. WindEurope is making very good progress in exchanging also what are the things and what are the components we can work closely with and what are the components and probably electronics that you should be very, very careful about. So that comes into the normal 3 buckets we say and we also have. Listen, it's affordable, it's independent and secure, and it's sustainable. And that's what we have as a solution. And I see a lot of more -- there will always be the opportunistic that will try to see something. But if it doesn't get connected into the grid or it's a build and sell, then it might not work down the line.
Tore Luca Kristof Fangmann: Okay. And my second question is a follow-up on the Service contract renegotiations. Could you maybe speak about how restrictive are your customers and partners of these renegotiations? And if I understood you correctly in previous quarters, you were mentioning that you will try to renegotiate all the contracts by the end of '26. So basically, over the coming 1.5 years. How easy is this to do in case you want to cancel a contract? Are they not just simply legally binding? Or can you just cancel out of a contract if you're not willing to agree to the new terms?
Henrik Andersen: No. I think here, there's many questions in your one question here. I think -- I don't think we can have a commercial reset done by a specific date. I think this is also a way of living when you then look at it and when we look into this going forward because if you have an average 11 years of contract duration, you will see somewhere a little less than 10% of your contract portfolio coming towards you with the usual sort of construction bumps that originally led to the Service contract. So therefore, you see this as an ongoing basis. Then when it comes to your question sort of more specifically, how easy is it, I don't think anyone says it's easy when you call -- get a call from somebody that says, "We need to have something here in discussion." That doesn't work terribly well for us, but probably works pretty well for you. And then if that was the only thing you were to discuss, then it will be maybe a short conversation. But as this is all related to both partners we have had for maybe decades, we have partners where you need new orders, new capacity, different solutions or even repowering because there are also some of these Service contracts that are now up for discussion, where it might for the customer and for us be a lot better and smarter to repower some of these older turbine makes. So a lot of things are up. And therefore, I'm saying here, of course, we can't singlehandedly -- if that's sort of what you -- we can't say that we just go single handle out and cancel. We're not stupid to pay a cancellation, LD or something that opens that one up. But on the other hand, no one wants to force penalties on each other if you can find a good partnership and a good commercial settlement.
Operator: We now have a question from the line of Kristian Tornøe from SEB.
Kristian Tornøe Johansen: Two questions from me as well. The first one, again, on the offshore ramp-up. So with the serial manufacturing in Poland, have you reached serial production in all the offshore sites? And are you fully staffed at this point in Oslo?
Henrik Andersen: I think we are fully staffed to where we plan to be in terms of, for instance, a Polish factory to what we are doing right now. But of course, Polish factory also has additional capacity, which we are going to take advantage of, Kristian. So we don't run ahead with shifts or anything else until we know that we have that capacity restriction as well. So I think we are where we would like to be. There's no doubt that if I walk into one of the factories today, I think we are making great progress in terms of takt time and other things coming down in the clear manufacturing and the serial manufacturing of the sort of the standard. I think where we see that we have still some more work to do is in the finishing of the assets before they leave for harbor and finally ship out.
Kristian Tornøe Johansen: Understood. That makes sense. And my other question goes to your comments when you presented around the LPS. Just curious of the sites you mentioned where you are doing major repairs. Are they identical to the sites that you also talked about in Q1? Or have there been sort of new sites that would need major repairs?
Henrik Andersen: Same sites.
Operator: The next question comes from the line of Akash Gupta from JPMorgan.
Akash Gupta: I'll ask one at a time. My first one is on the U.S. So Henrik, I think you mentioned early on about the attractiveness of the U.S. market, given the electricity demand growth and boosted by data centers. The question I have is on wind competitiveness in the U.S. without subsidies. Because when we look at some of the data out there, studies done by third parties, we see that wind -- even without PTC, it is more competitive than a new CCGT or nuclear, they can be built quite fast. But then, of course, the problem is intermittency, which can be fixed through some backup generators. So the question I have is that given what we see in the U.S. market on the demand side, which saw high demand for electricity and more so for green electrons, what sort of discussions you are having, not just in the near term, but maybe like looking on the longer time horizon on projects where, basically, customers may be not caring about which subsidies you get, but more about when can you -- how soon these -- some of these projects can be built? So I want to start first with the U.S.
Henrik Andersen: Thank you, Akash. No, I think you're very right in your sort of outlook. And I think, of course, no one would build additional assets if it wasn't needed and the offtake was not needed there. I think also that the demand side doesn't change significantly from this when we look towards the end of this decade. So I share that. On the other hand, it's also when you're finding yourself in an environment where you have a known quite well-structured incentive to build out further capacity in the U.S., which we both know has been existing since 1992. That has driven an enormous capacity. But also when you run the capacity up, of course, you bring the levelized cost of energy down because you have a full supply chain. You have construction, you have supply chain, you have harbors, you have railways and other stuff that is very much -- and by the way, we have factories there. So that also means that you have a levelized cost of energy that will also, by the end of the PTC cycle, prove to be competitive. But of course, it will be open there to competitiveness and comparison to some of the other assets. But you are mentioning nuclear, then we also have to talk just ordinary facts. It doesn't allow anyone to build a new nuclear facility in 36 or 48 months. We are, as you know -- in the U.K., we're probably talking at best 15, 20 years. And then in 15, 20 years, it's very, very difficult to foresee what the levelized cost of energy will be 20 years out in the future. That's a lot easier with something you know for a fact that is tangible in 36 to 48 months. So I think we got some strength here that we are definitely putting. And the good thing is customers -- our customers, our long-lasting partners are seeing the same. And of course, they are backed by that because these are the customers, partners that are also selling the electricity to their customers or end users in that. So we see the same. I can't say fixed point what is the offtake looks like and what is the levelized cost of energy in the U.S. in 3 or 4 years' time from now because we got a couple of variables, which, of course, we have had to deal with in the previous couple of quarters. So if tariffs are hitting some of these things and if the industry is having these, which seems to be more shorter term, stop and go again, that's not helpful. That was what I talked positively about in the IRS. It was a 10-year. Now it seems like we are down to what we also have lived with for many decades, 3 or 4 years execution. But in the outcome of it, clearly positive that we have a proper structure and we have a proper both ramp up and ramp down of U.S. in its current policy.
Akash Gupta: And my second question is on the guidance. So this year, you started with 300 basis points wide, which was 100 basis points wider than last year. And we already had 7 months, but still you are reiterating 300 basis points wide guidance, which means a wide range of scenarios for the remaining 5 months. Maybe can you talk about the uncertainty that's still out there and opportunities that are ahead of you? And can you indicate is the midpoint of guidance is still a realistic outcome for the year?
Henrik Andersen: As I said, when you have a guidance, the whole guidance is a potential outcome for the year, Akash. So I will sort of say here, maybe it's a little unusual that we keep our 300 basis points throughout this quarter as well. But I think, also in all fairness, if we just take the last 6, 8 weeks, it is still with a bit of variable to what we see for the year in terms -- especially as you can see the ramp-up in the U.S. is happening as we speak. But you still see, then there is a pause and something which is helpful, and then there is something new being introduced. So I think here, we just have to work through it. And now U.S. is definitely a very, very busy place in construction in second half of the year. Then let me also -- we talk about that all the time. And I think we said it in February very, very specifically, and Jakob talked to it here as well. The first half of the year is -- yes, it's lower than potentially also compared to the second half of the year. So I sort of sit in here and saying we performed really well in the onshore in the first half of the year. Keep that momentum because that is part of also what allow us to have -- to still have the guidance range in that sense because that is, of course, what can bring the guidance towards the higher end of it. Otherwise, you're fine in having a guidance where you take the midpoint, and that's what you work with. And as I said here, there is also -- as you will appreciate, there are a couple of FX things that have influenced some of the nominal things in the guidance, but we haven't changed. So that's pulling a bit in the other direction. So, so far, we really -- we're really pleased with it. We are where we are, and we can see that. And of course, if we get to that, anyone can see that it's going to be a high EBIT half year -- second half of the year, and it's going to be a high cash second half of the year, which bodes well from when we get into November release of Q3. And probably in November Q3, not hinting anything, but we should be able to maybe narrowing it a bit from the 300 basis points when we talk again in November.
Operator: We now have a question from the line of Ajay Patel from Goldman Sachs.
Ajay Patel: And welcome, Jakob. I first wanted to start on Service, please. So you presented this plan, all the initiatives that you're working on, highlighting it's a strategic priority for '25 and '26. And I look at consensus, and I think it's like 17% to 19% EBIT margins for the next 3 years include -- up to '27. And I just wondered, when you say that these benefits will take time to materialize, are you saying that, ultimately, as we get into the back end of '26, we should start to see some financial improvements? Maybe not all the way up to the 25%, but progress versus that sort of 18% to 19% range. I just wanted a little bit more granularity on what you meant by these statements. And then the second question was just on U.S. tariffs. Is there any sort of indication of size? Because, clearly, when you set your guidance back in February, tariffs weren't there. And now we have those as an additional cost. And clearly, look, the offshore ramp-up will be quite wide-ranging, depending on where you end up on that consensus, but that number would help even in -- if it's quite a broad order of magnitude.
Henrik Andersen: Yes. I think, first of all, on the -- if I start in the reverse order this time. I think on the U.S. tariff, I would love to say I had a fixed point, but I don't because the U.S. tariffs has simply been a bit of a moving target throughout this half year. So I would rather say we do whatever we can together with customers to mitigate it. When we find ways of doing it, we lock it down and then we take it. And as you will appreciate, we have, in this case, most of those tariff impacts for '25 covered in and around with the customers. So that, we are working through in that sense. But there are also with that, when you have special components or special countries taken with us where we have the factories, but we still have things that comes into the factories, that will be influenced by it. So I think it's manageable. Maybe it gets a bit tense, but that's always the case because if you open the television, there is -- tariff is a good thing, but I can't find any good consequences of tariffs generally, even though somebody else is saying it. So it will go negatively for trade and it will go negatively for the end consumer, period. I think when we talk about the Service recovery plan, I think what Jakob is rightly saying here, we often asked already upfront. This quarter, this was where it was. It's next quarter the one that goes better. And that's where we're just saying right now. We have a plan for until the end of '26. Service is working diligently fluid. There is under the 17.2% in this quarter, it's quite a number of net movements from individual contracts and other stuff, but it ended at 17.2%. Rest assured that immediately we see the momentum, then there's no holding back of our part here of getting this above the 20% and starting with it, too, again. But we just can't have and we don't have visibility from when that is the right thing to say to you on this one, Ajay.
Ajay Patel: It's like bear with us, but it's coming kind of thing. That's fine. And then just because of the tariffs question, do you mind if I just replay something? Offshore, right? It's a combination of ramp-up costs that we need to -- and the absorption of fixed costs partly with volume, I guess, this year and then maybe the margins on the contracts. You have quite a sizable backlog in offshore now. You're saying that offshore ramp-up costs should maybe peak towards the end of the year. Does that sort of indicate quite a material increase in profitability or much lower losses going into '26?
Henrik Andersen: I don't like to comment on '26 when we are in '25. But I think here, it's -- there's no need to keep the ramp-up cost if you don't need them, right? So therefore, if we look at this, there will be some ramp-up costs, there will be some finishing line we will still have in '26, but it will be significantly lower.
Operator: The next question comes from the line of Deepa Venkateswaran from Bernstein.
Deepa Venkateswaran: My 2 questions. The first one is on the U.S. As you mentioned, next week, there should be a guidance from Treasury on what would constitute start of construction. I just wanted to know how much of an uncertainty this is for your customers from placing orders. Or is there already enough safe harbored projects? And when you mentioned that you expect orders to not continue just for the next 2 years, by the end of the decade, I'm assuming you meant deliveries until the end of the decade, if you could just clarify that. And the second question on offshore. Obviously, you're taking time. Can you give us any idea if there are any delays for the wind farms or whether there's any financial consequences associated with these delays? And are you behind schedule by 6 months? Or just any kind of idea and if there's any consequence of this for you.
Henrik Andersen: Thank you, Deepa. I think on the U.S. IRS guidance, probably, I learned here that it's better to wait for August 18 or whatever date around that where it comes out. I'm pretty sure that they do their diligent work around it. We know what the existing rules are. And normally, I'm saying normally, under normal administrations in many decades, we have seen when they change guidance, it is from that date and onwards. So therefore, we have also seen some of that where orders either is already permitted, is already offtake, is already grid done. And therefore, you see those orders not awaiting an IRS guidance on this specifically in construction because, of course, you would appreciate, if you want to qualify in construction after a certain date, I'm pretty sure that is where the IRS guidance will come. So guessing might be that under the new IRS guidance, there could be a slightly shorter window to build out before it's in Service or it could be that the usual rule of thumb of a certain percentage, smaller percentages of safe harbor, that percentage might go up, which was my hint of saying it could be that some of the safe harbor orders start looking at small normal orders in the sense when we get on the back end of August 18. And of course, if you are already out there and you have done that, then you're probably under the old rules. And after whatever date comes here in August, you will be after the new rules. So that will be my -- that will be sort of my interpretation of where we are. Then each time, we'll know if that was a good directional answer. On the offshore, I think the delays is always going to be a discussion point because the delays goes for the full project. It goes also for access, and it goes for grid, it goes for all of these things. And generally, what we see in offshore is that it is not as mature, and I think that goes for all of us in doing it. And therefore, there will be also just the simple thing that sometimes the weather is that you can't do what you normally would do. So therefore, there will be financial consequences if we are the cause for a delay. But on the other hand, right now, we are working diligently through it in terms of the 2 projects we are working with. And therefore, for us, we have 2 eyes on the 2 projects we have, absolutely, and full attention to it, but we also have a very strong attention and also how we are having the capacity available to the further ramp-up of capacity that happens from '26 and onwards. So for us, this is the important thing. This is important to get the 2 projects, right, but it is probably from a Vestas point of view and also from an industry point of view and partners point of view, as important that we get the right capacity mustered from when we look in '26 and beyond. If I could hear by just having the last question in this round as we are 11:15.
Operator: We have a last question from the line of Martin Wilkie from Citi.
Martin Wilkie: It's Martin from Citi. Just one final question. It comes back to tariffs and how it links into the Service business. One of your competitors did take an adjustment to their long-term service margin expectations in the U.S. because of higher tariff costs. Obviously, when we look at your U.S. business, there is a large service backlog. It doesn't look like that's impacted your profitability or maybe it was offset elsewhere. Have U.S. tariffs been an effect on gross margin in the Service backlog? Or have they been offset? Or how should we think about any risk or anything like that inside the Service profitability because of tariffs?
Henrik Andersen: Yes. First of all, as always, please address competitors' comments on some of this with what they are seeing. We have a large setup in the U.S. in wind. We have a supply chain there in the wind industry, where it's highly also localized. And therefore, we don't see the same principles as somebody else has mentioned. So therefore, I would leave that with them to sort of argue. And for us, it is a combination of both backlog portfolio and also the localization of supply chain we have in the U.S. Otherwise, then, I would just sort of say U.S. business, great business, long contracts and good business. So therefore, I don't see an imminent push from some of the tariffs into that part of the business in the U.S.
Martin Wilkie: Good. That's great to hear. And if I could just clarify one other question as well. Obviously, the ASP this quarter at EUR 1.11 million, and that's a pure onshore number. You mentioned in your opening remarks both the word stable and positive. But just to understand, if we do sort of normalize for mix between EPC and all the rest of it, is pricing still effectively flat? Or is there still some slight positivity because of some lingering effects of raw materials, labor and these kind of things?
Henrik Andersen: I think it's we're saying here. As we are in some of the markets where we have different mix, we didn't have any U.S. orders in Q2, in fact. And therefore, what we have saw -- seen in here is a good market across predominantly EMEA, where there are a good mix of that margin. So I think, here, we just say we're really pleased with it, and you're rightly saying it's one of those quarters where it's a pure onshore ASP that is comparable with other quarters. But as we now have U.S. up and running and we have some of the other markets also, for instance, in Asia Pacific, then there will be a different pricing. We are very pleased with this and the discipline that goes into the commercial setting, and pricing here is still more than intact. So we're really pleased and positive with that. Good. With that, Operator, I just want to round off and thank everyone for the interest also for many of them. For those who didn't get access here on the Q&A, I hope to see you in the coming days where you will also have a lot more time, one-on-one or in the groups, with Jakob and Rasmus. So we look forward from a total Vestas team to spend more time on the coming days. So thank you so much, and keep well.